Operator: Good morning and welcome to the Ryder System First Quarter 2021 Earnings Release Conference Call. All lines are in a listen-only mode, until after the presentation. Today's call is being recorded. If you have any objections, please disconnect at this time. I would now like to introduce you to Mr. Bob Brunn, Senior Vice President, Investor Relations, Corporate Strategy and New Product Strategy for Ryder. Mr. Brunn, you may begin.
Robert Brunn: Thanks very much. Good morning and welcome to Ryder's first quarter 2021 earnings conference call. I'd like to remind you that during this presentation, you'll hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors and a reconciliation of each non-GAAP financial measure to the nearest GAAP measure is contained in this morning's earnings release, earnings call presentation and in Ryder's filings with the Securities and Exchange Commission, which are available on Ryder's website. Presenting on today's call are Robert Sanchez, Chairman and Chief Executive Officer; and Scott Parker, Executive Vice President and Chief Financial Officer. Additionally, John Diez, President of Global Fleet Management Solutions; and Steve Sensing, President of Global Supply Chain Solutions and Dedicated Transportation, are on the call today and available for questions following the presentation. At this time, I'll turn the call over to Robert.
Robert Sanchez: Good morning, everyone, and thanks for joining us. On our call this morning, we'll provide an overview of our first quarter results. We'll then review our updated outlook for 2021, as well as the meaningful progress that we're making on actions to achieve our ROE target. Following our prepared remarks, we'll open the call for questions. With that, let's turn to an overview of our current environment. Overall, we're encouraged by the significant improvement in economic and freight conditions. The recovery for a great number of our customers has been stronger than anticipated even just a few months ago. Accelerating growth trends in logistics and transportation outsourcing, particularly in e-commerce fulfillment and Ryder Last Mile, continue to support long-term growth opportunities for Ryder. We remain primarily focused on increasing returns in our business and are encouraged by the meaningful progress we've made towards reaching our target. While we are driving for higher returns, at the same time, we also continue to invest in innovative customer solutions, such as RyderShare, our freight visibility and collaboration platform; and in our SCS and DTS Ever better brand awareness campaign in support of our long-term strategic objectives. As customer awareness of supply chain resiliency continues to grow, so does the market demand for innovative technology and strategic partnerships that can provide end-to-end logistics solutions with flexibility and scale. As a result, technology has moved to the forefront of supply chain sales discussions, resulting in a robust pipeline and record sales activity. First quarter earnings were higher than our forecast driven by outperformance in FMS, primarily lease and rental as well as better used vehicle sales results. In addition, we saw strong sales activity across all three business segments, and our multiyear maintenance cost savings initiative remains on track for this year's targeted savings of $30 million. We raised our full year EPS forecast to reflect our updated outlook. First quarter free cash flow was higher than prior year due to higher used vehicle sales proceeds and lower cash capital expenditures. Our full year free cash flow forecast remains unchanged at $400 million to $700 million. Assuming strong economic freight conditions continue with no change in tax policy, we now expect to achieve ROE of 12% to 13% in 2021, above our previous forecast due to stronger FMS performance. We believe we're well positioned to realize our 15% long-term ROE target in 2022. At this point, I'll turn it over to Scott to discuss our first quarter results and key trends that we saw in each business segment.
Scott Parker: Thanks, Robert. Total company results for the first quarter are on page five. Operating revenue of $1.8 billion in the first quarter increased 3% from the prior year primarily reflecting higher supply chain and rental revenue. Comparable earnings per share from continuing operations was $1.09 in the first quarter as compared to a loss of $1.38 in the prior year. Higher earnings reflect improved used vehicle sales results and a declining depreciation expense impact related to the prior residual value estimate changes. Improved lease and rental results also contributed to higher earnings. Return on equity improved, reflecting a lower depreciation impact and improved used vehicle sales results. We expect continued improvement in ROE, our primary financial metric, as we move past the earnings impact from the prior residual value estimate changes in COVID and continue to benefit from our actions to increase returns. Free cash flow for the quarter was higher than the prior year, as Robert just mentioned. Turning to FMS results on page six. Fleet Management Solutions operating revenue increased 1% as higher rental pricing was mostly offset by declines in SelectCare and other revenue. Rental revenue increased 8% driven by a 9% increase in price, reflecting a robust market environment. Although rental demand was down slightly, it increased during the quarter with year-over-year comparisons turning positive for March and April to date. ChoiceLease revenue increased 1% primarily due to higher pricing on leased vehicles, partially offset by a smaller fleet. FMS realized pretax earnings were $63 million, up by $178 million from the prior year. $92 million of this improvement resulted from lower depreciation expense impact related to prior residual value estimate changes and higher used vehicle sales results. Improved lease and rental results also contributed to increased FMS earnings. Higher lease pricing and fewer vehicles to be redeployed benefited earnings. In rental, higher pricing and utilization contributed to higher results. Rental utilization on the power fleet was 73% in the quarter, above the prior year of 64% on a 12% smaller average fleet. Utilization improved throughout the quarter and into April as we saw incremental demand. Results also benefited from lower maintenance costs, including benefits from our maintenance cost savings initiative as well as lower bad debt expense. FMS EBT as a percent of operating revenue for the first quarter was 5.4%. For the trailing 12-month period, it was 0.8%, although the company's long-term target of high single digits primarily reflecting the depreciation expense from prior residual value estimate changes. Page seven highlights global used vehicle sales results for the quarter. We're very encouraged by the continued improvement in used vehicle market conditions resulting in double-digit price increases for both tractors and trucks. Globally, year-over-year proceeds were up 25% for tractors and 35% for trucks. Sequentially, tractor proceeds were up 11% and truck proceeds were up 8% versus the fourth quarter of 2020. Higher sales proceeds primarily reflect improved market pricing and, to a lesser extent, a higher mix of vehicles sold through our retail channels. As you may recall, in the second quarter of last year, we provided a sensitivity, noting that a 10% increase in trucks and a 30% increase in tractors in the US would be needed by 2022 in order to maintain our current policy depreciation residual estimates. Since the second quarter of 2020, US truck proceeds were up 25% and tractor proceeds were up 36%. Although these increases are not age or mix adjusted, they are generally indicative of pricing improvements that have occurred since the second quarter of 2020. As such, with these improvements, average pricing in the US for tractors and trucks is at or above policy depreciation levels. During the quarter, we sold 6,600 used vehicles, up 20% versus the prior year, reflecting improved market conditions and investments that expanded our retail sales capacity. Used vehicle inventory held for sale was 6,200 vehicles at quarter end and is below our target range of 7,000 to 9,000 vehicles. Inventory is down 5,400 vehicles from the prior year and down 1,500 vehicles sequentially. Turning to supply chain on page eight. Operating revenue versus the prior year increased 8% primarily due to new business and increased volumes. Growth was driven by double-digit percent increases in our consumer packaged goods, retail and industrial sectors, partially offset by lost business in high tech. Automotive revenues were largely unchanged, reflecting the negative impact of the semiconductor shortage and weather this year and COVID impacts in the prior year. SCS pretax earnings increased 6%, reflecting higher pricing and volumes, partially offset by over - higher overhead, including continued investments in marketing and technology. SCS EBT as a percent of operating revenue was 6.6% for the quarter, reflecting the seasonally softer first quarter. However, it was 8.5% for the trailing 12-month period, in line with our long-term target of high single digits. Moving to dedicated on page nine. Operating revenue was in line with the prior year as new business and pricing were offset by lower volumes. DTS earnings before tax increased 7%, reflecting improved operating performance, partially offset by higher insurance costs. DTS EBT as a percent of operating revenue was 5.5% for the quarter, which is up from the prior year. It was 8% for the trailing 12-month period, in line with our high single-digit target. Turning to slide 10. Lease capital spending of $217 million was in line with our forecast and below prior year. Full year lease spending is expected to be higher than prior year due to increased lease sales activity and COVID effects in the prior year. Lease returns are benefiting from pricing initiatives and supported - and support increased lease capital investment. Rental capital expenditure was $158 million, up versus the prior year, reflecting higher planned investment in the rental fleet. We plan to grow the rental fleet by approximately 10% in 2021, mostly in light and medium-duty vehicles, in order to capture increased demand expected from strong e-commerce and freight market activity. A strong demand and pricing environment support this investment. Our full year forecast for gross capital expenditures is unchanged at $2 billion to $2.3 billion in 2021, and as shown on the chart at the bottom of the page. This is up from 2020 levels when spending was well below normalized replacement levels primarily due to COVID. Turning to slide 11. Our 2021 free cash flow remains at $400 million to $700 million and reflects our strategy to balance growth in the capital-intensive FMS business while generating free cash flow over the cycle. 2021 forecasted free cash flow is below the record level of last year under COVID conditions, but is well above historical levels. Balance sheet leverage this year is expected to decline to the bottom end of our target range. Importantly, as Robert mentioned, we now expect to achieve ROE of 12% to 13% in 2021 with a declining depreciation impact and a stronger-than-expected used vehicle sales market recovery. Rental demand recovery and initiatives that include lease pricing and maintenance cost savings are also expected to contribute to higher ROE. Higher first quarter comparable EBITDA reflects contractual growth and improved operating performance. We expect comparable EBITDA to continue to increase in 2021. I'll turn the call back over to Robert to discuss our outlook for the balance of the year. 
Robert Sanchez: Thanks, Scott. Turning now to our EPS outlook on page 12. We're raising our full year comparable EPS forecast to $5.50 to $5.90 from our prior forecast of $4.15 to $4.65 and well above our loss of $0.27 in the prior year. We're also providing a second quarter comparable EPS forecast of $1.25 to $1.35, significantly above the prior year loss of $0.95. Our forecast assumes the strong freight and economic conditions continue through at least 2021. Lease rental on used vehicle sales performance are the key drivers of higher expected results. We expect lease to benefit from price - from our pricing actions, increased sales activity and improved operating performance. We also expect pricing in rental on used vehicle sales to remain strong, and we're forecasting quarterly gains for the balance of the year in line with first quarter levels. In FMS, the depreciation impact from prior residual value estimate changes is expected to continue to decline, resulting in year-over-year earnings benefit of approximately $70 million in the second quarter of 2021. This benefit does not include any potential impact from gains or losses on sale or valuation adjustments. Accelerating outsourcing trends in supply chain, including growth in e-commerce and last-mile delivery, support strategic investments in new products and technology aimed at driving future growth opportunities. In SCS and DTS, we're on track to meet or exceed our high single digit revenue growth targets. Supply chain and dedicated returns are also anticipated to be impacted by strategic investments in new technologies and our brand awareness campaign. Finally, the semiconductor shortage is impacting activity levels for some of our supply chain automotive customers and could delay delivery of new lease and rental vehicles in FMS. We have assumed there will be some impact to supply chain earnings due to semiconductor shortage. In FMS, we expect the impact of delivery delays will be offset by higher-than-expected lease activity in vehicles already placed in service during the first quarter as well as higher rental utilization and pricing. As a reminder, on slide 13, highlights our primary long-term financial target of 15% ROE over the cycle. The segment operating revenue growth and pretax earnings goals we've previously outlined and that are shown here are key components to achieving this target. Turning to slide 14. I'd like to provide a brief reminder regarding our planned actions to increase returns and achieve our ROE target. As shown on the chart, the biggest driver to moving past - is moving past the higher levels of depreciation impact related to prior residual value estimate changes. In addition, continued cyclical recovery in rental demand and utilization is expected to provide earnings and returns benefits. The remaining improvements needed to reach our ROE target is expected to come primarily from initiatives that include lease pricing increases that are more targeted at certain applications and customer types, cost actions, including our multiyear maintenance cost savings initiative, and accelerated growth in our supply chain and dedicated businesses. Slide 15 highlights the progress that we're making on the five key areas I just outlined. Improving used vehicle market conditions are expected to continue to benefit used vehicle sales performance and returns in 2021. We're capitalizing on strong market trends through pricing actions and by expanding our retail sales channel. We expect the depreciation impact to continue to decline. In rental, we saw strong first quarter performance, and our planned rental growth is supported by favorable demand and pricing trends that continued into April. In FMS, results continue to benefit from our lease pricing initiatives. Revenue on new leased vehicles increased year-over-year by mid single digit, reflecting our pricing actions. We're using data analytics to further refine portfolio pricing optimization and capital allocation decisions. Our multiyear maintenance cost savings initiative has delivered more than $50 million in annual savings through the end of last year, and we're on track to achieve an additional $30 million in savings in 2021. We're investing in strategic initiatives to accelerate growth in our higher return supply chain and dedicated businesses. These include our SCS and DTS brand awareness campaign, continued investment in RyderShare and our e-commerce fulfillment solution and expanding our Ryder Last Mile network. We continue to see strong trends that support logistics and transportation outsourcing and believe we're well positioned to leverage these compelling opportunities. That concludes our prepared remarks this morning. Before we go to questions, please note that we expect to file our 10-Q later today. As a reminder, please limit yourself to one question each. If you have additional questions, you’re welcome to get back in the queue and we’ll take as many as we can. At this time, I'll turn it over to the operator to open up the line for questions.
Operator: Thank you. [Operator Instructions] And we'll go ahead and take our first question from Justin Long with Stephens. Please go ahead.
Justin Long: Thanks, good morning. And congrats on the quarter.
Robert Sanchez: Thanks, Justin. Good morning.
Justin Long: I wanted to start with a question on the depreciation impact. Robert, I think you said in the second quarter, it would be $70 million. Curious if you have updated thoughts on the tailwind for the full year this year, in 2022. And then also on the theme of used trucks, I'm curious if you're seeing any change in the mix of used truck buyers, if you're seeing some of the non-traditional buyers enter the market just given the capacity tightness out there? Thanks.
Robert Sanchez: Okay. Thanks, Justin. Well, just to remind you, what we said at the beginning of the year or in the last call, we said it was $220 million year-over-year benefit this year. And it would be $50 million in the first quarter. So we're saying now $70 million of it is in the second quarter. Scott - I'll send that over to Scott. I don't think there's significant changes in that number. Scott, is there anything you want to add to that?
Scott Parker: Yes. Justin, there's no change to what we did. Robert's right. We talked about a $220 million benefit, and we still kind of think that, that is the outlook for the remainder of the year. And the $100 million improvement that we mentioned for 2022 is, again, our best estimate at this point.
Robert Sanchez: So - and then your question on the used truck market, let me hand that over to John Diez, and he can give you a little bit of color on what we're seeing in the used truck market.
John Diez: Sure. Justin, a few comments there on the used vehicle sales side. One, we are seeing, as noted in the deck here, improved results from our retail investments. And as part of that, through our digital channel, we are seeing new buyers coming into the marketplace, many of which are new to trucking or looking to engage in the e-commerce side. So we are seeing good activity both in straight trucks as well as in the tractor market to meet that e-commerce need. So that's where we see the new buyers coming in and that's what they're looking for.
Justin Long: Okay, helpful. I appreciate the time.
Robert Sanchez: Thanks, Justin.
Operator: [Operator Instructions] And we'll go ahead and move on to our next question from Scott Group from Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Morning, guys.
Robert Sanchez: Morning, Scott.
Scott Group: So I want to ask the - you raised the earnings guidance significantly, no change in CapEx guidance. How come the free cash flow guidance doesn't move up at all? And then I just want to clarify one thing. The $220 million of depreciation tailwind, I think that excludes valuation adjustments. Just now that prices are above the longer-term residual assumptions, are there incremental valuation adjustments to contemplate this year?
Robert Sanchez: Well, let me just answer the question on the free cash flow. I think the key there is-- Scott, is we have a pretty wide range in our free cash flow forecast. It was $400 million to $700 million. So all we're saying is that the impact of the change in earnings and offset by some of the CapEx doesn't - hasn't really taken us out of that range yet. So some puts and takes, but we're still in that same range. Scott, do you want to address the other - the second part of the question?
Scott Parker: Yes. Scott, on the perspective, at least thinking about the $220 million, yes, it excludes any impact of UVS gains. As you remember, we had a little bit of accelerated depreciation in 2021. And most - there's very little of that remaining. So your - in the deck, we factor that into kind of our outlook in regards to the gain on sales that we're seeing on the current assets that we're selling. As you remember, we did accelerate the depreciation at lower than policy for all those units that we expect to sell through the mid of 2022. So those will just result in seeing better gains on the portfolio. From a policy perspective, I think we've talked about that on the last earnings call, I think we will revisit our policy depreciation. As we mentioned, we are at or above those levels. And as we kind of work through this year, we'll kind of look at kind of any adjustments on that as we kind of get to the end of this year and see the kind of trends in the overall market and pricing.
Scott Group: Did you ever give a rule of thumb on if we...
Robert Sanchez: Like I said...
Scott Group: Yes. Go ahead, please.
Robert Sanchez: No. I'll just tell you that the valuation adjustments are in that net UVS gains. And what we're saying is it's going to - we're expecting for the balance of the year to be similar to what we saw in the first quarter, which is about $30 million a quarter on net UVS gains.
Scott Group: Okay. I was just going to say, did you ever give a rule of thumb if we - if - maybe I'm getting ahead of myself, but if we increase the residual assumption by 5% or 10% or something, what that means from an earnings standpoint?
Scott Parker: Scott, we have not historically provided that kind of sensitivity from a rule of thumb perspective.
Scott Group: Okay, all right. Thank you, guys. appreciate it.
Robert Sanchez: Thanks, Scott.
Operator: And we'll go ahead and take our next question from Todd Fowler from KeyBanc Capital Markets. Please go ahead.
Todd Fowler: Great. Thanks and good morning. Robert, on the change to the full year guidance, at the midpoint, it looks like you're raising it by about $1.30. It looks like maybe half of that was the upside in the first quarter. In your prepared remarks, you talked about better lease rental pricing and gains. Can you maybe help bucket kind of the pieces to bridge the increase in guidance where you're really seeing the drivers between those three areas?
Robert Sanchez: Yes. Look, it's primarily an FMS story. And what we're seeing is better performance in lease, the impact of pricing and also the fact that we've gotten a lot of the vehicles that were being redeployed, we've gotten them out of the system. We're seeing rental demand coming in better than we had originally expected. And as you know, throughout the year, we expect - we had expected the rental demand to increase throughout the year. So the benefit of that maybe isn't as big in the out quarters as it is in this quarter. And then obviously, UVS, we're expecting gains to be better than what we had originally estimated. Remember, we originally said it was going to be a little bit below what we saw in the fourth quarter, and now we're looking maybe at close to $30 million. Some of the offset to that is some of the headwinds that we have from the semiconductor piece in our supply chain business and then also some of the additional investments that we're making in that area. But John, is there any other color you want to add to that?
John Diez: The one item that Robert mentioned around rental, it's both better demand and also momentum around pricing that we saw in Q1 and that carrying through the balance of the years is the one thing I would add to that, Todd.
Todd Fowler: Okay. John, just for clarification, I think Robert mentioned that rental pricing was going to be consistent with 1Q for the rest of the year. Is that 1% increase? So the double digits that we saw in 1Q, is that what we should expect for the rest of the year? I know the comps get more difficult in the back half. If you could just clarify that, I'd appreciate it. Thanks.
John Diez: Yes. I would say, look, the first half, you should expect that. As you saw in the second half of last year, we started taking some pricing actions as we saw demand coming back into the system. But there's still going to be healthy year-over-year increases for the balance of the year. It may wobble a little bit from Q2, down in Q3 and Q4, but they're going to be good improvements year-over-year throughout the year.
Todd Fowler: That’s helpful. Thanks for the time.
Robert Sanchez: Thanks, Todd.
Operator: And we'll take our next question from Stephanie Benjamin from Truist. Please go ahead.
Stephanie Benjamin: Hi, good afternoon.
Robert Sanchez: Hi, Stephanie.
Stephanie Benjamin: I wanted to clarify just on the updated outlook. It appears you didn't give a new outlook on top line expectations, and it sounds like primarily the increased guidance is due to FMS performance. So suffice it to say, should we assume that the full year top line outlook for that segment should be higher than kind of what was provided when the fourth quarter performance was released? Or - and then similar in that question, I'd love to hear a little bit about - it appears to be a very strong demand environment, but also, I think it's clear that there's a shortage in equipment, too. So I'd love to hear how you're balancing the high demand as well as being able to meet that demand. Thanks.
Robert Sanchez: Yes. Well, I'll just give you a high level. I mean the forecast top line, there's some improvement, but a lot of it is not proportional, I would say, to the bottom line. I think we're getting more than our fair share on the bottom line. And I'll let John address the second part of your question.
John Diez: Yes. So Stephanie, what I would highlight here is what we're seeing is the order book for the lease business is pretty robust. We do think that the lease activity, even though we are seeing some challenges on new vehicle delivery, is going to come in better the full year than what we had expected. And then previously, we had mentioned rental, especially on the pricing and demand side outperforming, you're going to see that carry through on the top line as well. So you are going to see some of that outperformance from rental revenue through the balance of the year.
Stephanie Benjamin: Absolutely. Appreciate it. And then secondly, on the supply chain business, you noted an increased focus in investment behind technology and going forward. Can you maybe talk a little bit about that and what we should expect in terms of those investments as we move through the year?
Robert Sanchez: Yes. We talked about it at the beginning of the year, the fact that we're investing in different technologies. We're investing -- making some additional investments in our Ryder Last Mile, adding some nodes and facilities and investing in technology also for our e-fulfillment product line. So I think what - really, the takeaway from this quarter is we're just very encouraged by the results that we're seeing so far. I would say even beyond the e-fulfillment piece, just the acceptance of the RyderShare visibility and collaboration tool that we developed over the last 1.5 years, two years, we're really - it's really becoming a big driver for us winning supply chain business and dedicated business. So let me hand it over to Steve so he can give you a little bit more color.
Steve Sensing: Yes. Stephanie, I'll dig in a little bit deeper. I think as you think about technology investments, as Robert said, we're really hitting across multiple product lines. RyderShare certainly serves our dedicated business and our transportation management business where we act as the traffic department for our customers. So we're well on to launching that for those customers. We'll be rolling out an application for warehousing later this year and early into '22 as well as brokerage. If you think about e-comm, we have to continue to invest in technology not only to retain our customers, but to make it easier for them to do business with us. So we're focused on that, and we'll be rolling out an order management system later this year. And in Last Mile, we're improving our customer experience. So the visibility of orders in transit to our end customers is a key focus area for us there. So I'd say it's really across the board. And as Robert said, it's not only retention, but it's also top line growth.
Stephanie Benjamin: Great. Well, thank you so much for the color.
Robert Sanchez: Thank you, Steph.
Operator: And we'll move to our next question from Jordan Alliger from Goldman Sachs. Please go ahead.
Jordan Alliger: All right. Can you maybe provide a little more color on the line of sight on the dedicated operating revenue growth? I think the year started out flat, but I believe you still believe sort of high single-digit revenue growth. So I'm just wondering what are you seeing in the pipeline or contracts closing? And when is the acceleration sort of kick off? Thanks.
Robert Sanchez: Yes. I'll tell you, we're - it's a great question. We're really encouraged by the sales activity we saw this back half of last year and into the beginning of this year. We're really looking at high single digit, maybe even double-digit growth in dedicated this year. And those are deals that - many of those are deals that we've already signed or close to signing. And a lot of it is the activity that you might expect as the driver shortage is no secret. Everybody's challenged with it. And we're seeing more and more companies looking for help around that and around really running their private fleet. So I'll let Steve give you a little more color on what we've seen.
Steve Sensing: Yes. We had a really good close to the end of the year last year. I'd say, already this year, to date, we're ahead of expectation there. I think the continued investment in our Ever better campaign is certainly increasing our pipelines to historical levels. And the deal size that we're seeing right now is some good large deals. So we're excited. As Robert said, I would expect to see that at or above the range here in Q2 and for the balance of the year.
Jordan Alliger: Great. Thank you.
Operator: And we'll move on to our next question from Brian Ossenbeck from JPMorgan. Please go ahead.
Brian Ossenbeck: Hey. Good morning, everyone. Thanks for taking the question. Just a follow-up on the dedicated. Are you seeing any challenges, whether it's a type of customer or certain regions where you're seeing a little bit of slowdown or maybe a bit more money you have to put into the market to get drivers? Are you seeing any shortages even on your side with the dedicated that are impairing the growth? Or are you not having that sort of issue right now?
Robert Sanchez: Yes. I'll let Steve give you more color. But I'd tell you, the driver shortage affects everybody, including us. However, net-net, it is a positive because we are -- I believe that we're a lot better at hiring and retaining drivers than most private fleets are. That's what we do for a living. We have a team that specializes in driver recruiting in each of the markets. So even though it is more challenging for us also, it's actually a very good thing because more companies look for help when things get difficult, and that's what we're seeing. I'll let Steve give you a little color on what we're seeing maybe by geography.
Steve Sensing: Yes. Brian, I think that's a really good way to sum it up. It is kind of ZIP code by ZIP code as we go after some of the challenges. I'll give you a little bit of detail on what we're doing. Certainly, we're always reviewing the driver compensation and working with our customers to recover that, and we've got - had good success there. Another investment that I didn't speak about earlier is our RyderDrive technology, which is effectively making a paperless driver experience. So that's very attractive to attracting drivers and retaining them, making their jobs easier. As Robert said, we've increased investment in our recruiting teams, and those recruiting teams are really focused on geographies. So they know the nuances of those geographies and can be very proactive there. One last thing, we are adding out sign-on bonuses in key markets, and that's been effective to date.
Brian Ossenbeck: Thanks, Steve, for the color there. If I can just follow up on the tax policy changes. I know you're not expecting anything to come through, and we don't expect anything. I know what might actually come through at this point. But just at a high level, can you remind us - I know you had a white paper out the last time tax changed. This time, it might go in the opposite direction. So I guess post mortem from the last time the tax changed, was that a big impact when you had things like tax shields and accelerated depreciation moving around? Did that affect the buy versus lease? Or is it too noisy? Can you even really tell on a customer-by-customer basis? Just sort of what to think about when we start to see these headlines moving forward, I'm assuming towards the back part of the year on taxes.
Robert Sanchez: Yes. I guess you're talking about the impact on the demand for our services, such as the truck leasing side?
Brian Ossenbeck: Yes.
Robert Sanchez: Yes. I would - yes, I'd tell you that, first of all, the reason most companies are leasing trucks from Ryder is really for the maintenance and the fleet management component of it. There is always somewhat of a financial piece, but this is not like your typical pure operating lease where all they're doing is getting a lease. It's really the bundle with the purchase of the vehicle, the bundle with the maintenance and the financing and then finally, the residual guarantee. So we don't expect that to change with a tax law change. I don't see that having an impact on demand much at all. And I think that you'll still continue to see strong demand for the maintenance capabilities. And again, the growing complexity around the technology of vehicles will continue to drive more people to outsource.
Brian Ossenbeck: All right. Thank you, Robert.
Robert Sanchez: Thank you, Brian.
Operator: And we'll go ahead and take our final question from Jeff Kauffman from Vertical Research Partners. Please go ahead.
Jeff Kauffman: Thank you, very much. Thank you for taking my question. Well, first of all, congratulations, just a fantastic looking quarter. I'm going to go in a different direction with the question. As you probably were aware, one of your warehouse logistics fulfillment competitors will be spinning off that business into its own independent subsidiary later this year and valuations, depending on who you listen to, could be 13, 14, 15 times EBITDA. You probably have one of the better global businesses in this area, trading at 4.5 times EBITDA, any thoughts? Is that something you would consider evaluating if we had a publicly traded comparison 2.5 to three times the value?
Robert Sanchez: Yes. Brian, obviously, we're always focused on making sure that we're going to get full value for what - for the pieces of the business that we have that's why you've seen us providing much more disclosure around the specific returns of each of the businesses.  We really - as you know, our strategy has really - has been - over the last couple of years is really to have moderate growth in our leasing business, generate free cash flow and invest that in accelerating the growth in our supply chain, dedicated businesses, which have a higher return. I think that strategy over time - I mean it's still early. I think that strategy over time is going to pay dividends and really have the company value differently. But we will - we were - we do look at things on a regular basis, and we will continue to evaluate as we move forward. But as you know, we don't comment on either acquisitions or spin-offs or anything else like that. But again, the important thing is we really like the portfolio of businesses that we have. I'd tell you, I'm very encouraged by the progress that we've made in our move towards that 15% ROE because I think that is an important milestone to get to, to really have the company value differently. And again, I want to remind everybody, right now, we think we'll do 12% to 13% this year, 15% or more next year. But our goal is really 15% over the cycle. And that tells you that we still got work to do, and there's still a lot of runway of things that we can do to continue to improve the return. So the depreciation roll-off has helped us. But we are still carrying quite a bit of - this year, it's about $270 million of depreciation impact from those prior residual value changes. That drops off each year over time. But again, that's going to create some tailwind and improvement in earnings year-over-year. The UVS market has improved. We expect that to probably continue to improve. If you think about the semiconductor shortage for - that's impacting new truck deliveries, that is going to be a slowdown in bringing new trucks into the market, which is going to really help used trucks both on the supply and on the demand side. There'll be demand for more used trucks, and that's where people have to go to get a truck that they need it. And on the supply side, you're going to have fewer used trucks coming into the market because there's going to be fewer trade-ins for new trucks. So all in all, it looks like a very positive outlook at least through this year and probably into next year. Around our pricing, if you think about each of those columns in that 15% ROE, we have been increasing our pricing since early 2018. So we still have leases that have not come up for renewal that were signed prior to 2018, that as we renew them, you're going to get better pricing on that. So you're going to see continued uplift there. Maintenance costs, we continue to drive maintenance costs down. We still got another $50 million left in our $100 million number. So you still got a lot of room there. We're going to get $30 million this year, probably another $20 million still for next year. And then the big one is really to see the accelerated growth rate in supply chain and dedicated and have the earnings from that growth really start to pull through because that's going to make a big difference, too. And that's - we are early in the early innings of that. We're in the innings of still investing in sales folks, in marketing campaigns, in technology, but the high return, value enhancing earnings from that are still to come. And then obviously, as - if you remember our capital allocation strategy that we talked about, we are going to be looking for acquisition opportunities in the space. And the intent is really to grow, and I would say, disproportionately grow the supply chain and dedicated businesses, which are going to give us a higher return over time. So that's what we're doing. That's what we're focused on. We think that's going to pay dividends over time. And there's still a lot of runway for us to continue to grow this business and add value for our shareholders.
Jeff Kauffman: Yes, terrific strategic overview. Thank you.
Robert Sanchez: All right. Thank you, Jeff.
Operator: At this time, there are no additional questions. I'd like to turn the call back over to Mr. Robert Sanchez for closing remarks.
Robert Sanchez: Okay. Well, thank you, everyone. I certainly look forward to seeing most of you over - during the quarter as we get out to some conferences and road shows. Stay safe.
Operator: And that does conclude today's conference. Thank you for your participation.